Executives: Stamatis Tsantanis - Chief Executive Officer
Operator: Thank you for standing by ladies and gentlemen, and welcome to the Seanergy Maritime Conference Call on the First Quarter 2015 Financial Results. We have with us, Mr. Stamatis Tsantanis, Chief Executive Officer of the company. At this time, all participants are on a listen-only mode. I must advise you that this conference is being recorded today on Wednesday, 15 of July, 2015. Please be reminded that the company publicly released its financial results, which are available to download on the Seanergy website at seanergymaritime.com. If you do not have a copy of the press release, you may contact Capital Link at 212-661-7566, and they will be happy to send it to you. Before turning the call over to Mr. Tsantanis, we would like to remind you that this conference call contains forward-looking statements as defined in Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended, concerning future events and the company’s growth strategy and measures to implement such strategy. Words such as expects, intends, plans, believes, anticipates, hopes, estimates, and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve known and unknown risks and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the company. Actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to, competitive factors in the market in which the company operates, risks associated with the operations outside the United States, change in rules and regulations applicable to the shipping industry, and other risk factors included from time-to-time in the company’s annual report on Form 20-F and other filings with the Securities and Exchange Commission, the SEC. The company’s filings can be obtained free of charge on the SEC’s website at www.sec.gov. The company expressly disclaims any obligations or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein to reflect any change in the company’s expectations with respect thereto or any change in events, conditions, or circumstances on which any statement is based. Now, we will pass the floor to Mr. Tsantanis. Please go ahead sir.
Stamatis Tsantanis: Thank you, operator. Good morning, everyone and thank you for joining our call. Today, I will discuss the most important corporate developments, and then I will briefly go through our financial results for the first quarter of 2015. I am pleased to announce that in the first quarter of 2015, we re-launched our shipping operations with the acquisition of our first vessel following the completion of our financial restructuring. This is the Capesize Leadership that was built in 2001 by a reputable Japanese yard and is currently employed in the spot market. The acquisition price of the Leadership was financed by a senior secured loan by European Bank and equity contribution by our sponsor in exchange of newly issued common shares, and the convertible note also from our sponsor. Post the funding arrangement for the acquisition of the Leadership, our sponsor that is Ms. Claudia Restis is the principal shareholder of Seanergy that controls the majority of our share capital. You can find further information in our Annual Report that was filed under the Form 20-F with the Securities and Exchange Commission back in April. As for fleet growth, we are actively reviewing the sales in precious [ph] market in order to identify additional vessel acquisitions. We are also in discussions with affiliated third-parties and with our sponsors to pursue these kind of opportunities. We expect to finance these acquisitions with debt provided by new loan arrangements and with equity provided through the capital markets and our existing shareholders. Closing the corporate developments, I would like to reiterate that the company remains committed to its business plan, which is to grow its fleet on a sustainable basis. We believe that our longstanding relationships with several financial institutions combined with our access to capital markets and our sponsor support will provide the necessary funding to comfortably grow the company during the 30-year historical low point of the second [ph] cycle. We will now briefly go over our financial results for the first quarter. Net loss for the first quarter of 2015 was $1 million or $0.04 per share as compared to net income of $83.5 million or $6.98 per share in the first quarter of 2014. The net loss for the first quarter of 2015 is attributed to the fact that we did not record any revenues from the Leadership, since we took delivery of the vessel in late March. On March 31, 2015, company’s total assets were $19.8 million, the shareholders’ equity reached $6.5 million, while the cash and cash equivalents amounted to $1.8 million. Turning to market overview, the drybulk sector remained extremely weak during the first quarter of 2015. More specifically in February, the Baltic Dry Index dropped to the lowest point over the last 30 years. The Capesize index in March also dropped to an extremely low level despite the fact that there was a record Capesize fixture activity from the beginning of the year. Since then, the BDI has recovered by approximately 56%, and most importantly the Capesize index also recovered 195%. We continue to believe that the fundamentals of the Capesize sector are very strong, and we are pleased to see that the market sentiment is also improving significantly. We also hope that this is a prolonged market recovery that will extend further on a sustainable basis. From the demand side, despite the slowing growth of the Chinese economy in the recent years, drybulk shipping demand growth over the past 3 years or 4 years has averaged 5% to 6%. This is in line with the long-term compounded growth for the seaborne drybulk trade as Australian and Brazilian iron ore producers boosted production capacity. As far as supply is concerned, we saw a record number of vessels being scrapped from the beginning of the year. More specifically, year-to-date, the Capesize scrapings has exceeded 2013 and 2014 combined. In addition, we also expect that the actual ton deliveries to be again a fraction of the notional order book estimated in the beginning of the year. On that basis, the net fleet Capesize growth will be approximately 2% in 2015 and approximately 3% in 2016 after growing only 4.4% in 2014 and 5.7% in 2015. This is a record low as compared to a historical 10-year compounded fleet growth of 9%, and more importantly the historical seaborne trade compounded growth of 5.6% from 2004 until 2014. Given the conservative expectation of the economists concerning the improvement of the rates, we are starting to see a positive influence on the asset values as well. As a final note, I would like to reiterate the fact that Seanergy represents a unique investment platform to capitalize on the improving market fundamentals. We are in the strong position to be rebuilding our fleet concurrently with significant market recovery. We will always do our utmost to deliver substantial results and returns to our shareholders. Thank you for listening our call and I will now pass the call over to the operator. Lisa, thank you.
Operator: Thank you very much, sir. That does conclude our conference call for today. Thank you all for participating. You may now all disconnect.